Operator: Greetings, and welcome to Simon Property Group First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Tom Ward, Senior Vice President, Investor Relations. Please go ahead, sir.
Tom Ward: Thank you, Peter. And thank you all for joining us this evening. Presenting on today’s call is David Simon, Chairman, Chief Executive Officer and President. Also on the call are Brian McDade, Chief Financial Officer; and Adam Reuille, Chief Accounting Officer. A quick reminder that statements made during this call may be deemed forward-looking statements within the meaning of the safe harbor of the Private Securities Litigation Reform Act of 1995, and actual results may differ materially due to a variety of risks, uncertainties, and other factors. We refer you to today’s press release and our SEC filings for a detailed discussion of the risk factors relating to those forward-looking statements. Please note that this call includes information that may be accurate only as of today’s date. Reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures are included within the press release and the supplemental information in today’s Form 8-K filing. Both the press release and the supplemental information are available on our IR website at investors.simon.com. Our conference call this evening will be limited to one hour. For those who would like to participate in the question-and-answer session, we ask that you please respect our request to limit yourself to one question. I’m pleased to introduce David Simon.
David Simon: I’m pleased to report our first quarter results. First quarter funds from operations were $1.046 billion or $2.78 per share prior to a non-cash unrealized loss of $0.08 from a mark-to-market in fair value of publicly held securities. Our domestic operations had an excellent quarter. Our international operations posted strong results in the quarter, despite being negatively impacted from the surging U.S. dollar. We are also very pleased with the results from our other platform investments. We generated $1 billion in free cash flow in the quarter, an increase of 10% compared to the prior year period. Domestic property NOI increased 7.5% year-over-year for the quarter and our international properties as I mentioned performed well, driving portfolio NOI growth to 8.8% occupancy at the end of the first quarter was 93.3%, an increase of 250 basis points compared to the prior year and a decrease of only 10 basis points compared to are seasonally high fourth quarter year-end of 2021. The number of tenant terminations in the first quarter was the lowest recorded in the last five years. And our TRG portfolio occupancy was 93.2% at quarter-end, average base minimum rent increased compared to the fourth quarter and was $54.14. Leasing momentum continued across the portfolio. We signed more than 900 leases for more than 3 million square feet in the quarter and had a significant number of leases in our pipeline. In fact, at our recent leasing deal committee, we approved the most deals since 2016 and overall, we recently have approved approximately 500 new deals representing 2 million square feet. Demand is very strong and interesting with the volatility of the world, our portfolio in the U.S. is in great demand from worldwide brands, restaurants, and entertainment operators, as most retailers and tenants view the U.S. as the place to be. Sales momentum continued for our retailers, mall sales volume for the first quarter were up 19% year-over-year, we reported retail sales per square foot reached another record in the first quarter at $734 per square foot, for the mall and outlet combined 43% increase and 669 per square foot for the Mills, which was a 50% increase. TRG reported 1,038 per square foot, which was a 52% year-over-year increase. Our occupancy cost is the lowest that we’ve had in seven years. We are pleased with the results of our other platform investments in the first quarter, including SPARC Group and J.C. Penney. J.C. Penney’s liquidity position is strong at $1.3 billion and it has no borrowings on its line of credit and performed better than planned. I can say the same for SPARC, which also performed better than planned in the quarter. SPARC also completed the U.S. Reebok transaction, and we anticipate great things from this iconic brand. Remember we expect Reebok to incur operating losses for SPARC in 2022, due to the integration aspects of the transaction. SPARC financial position like Penney is strong with the recent refinancing of its ABL, and it is in fact, a net cash positive position. During the quarter, however, our investments in Soho House and Life Time Holdings, which both became public companies at the end of last year were impacted by overall market volatility, driving an $0.08 unrealized non-cash mark-to-market. These are high quality businesses that fit with our flywheel of unique companies, and we believe these investments will generate value above our bases as they fully reopen and reengage with their customers. On the balance sheet front, we completed very timely, a dual tranche U.S. senior notes offering that totaled $1.2 billion, including a 10-year fix rate offering at 2.65%. Early in the year, we used the net proceeds to pay off our amounts outstanding on our credit facility. We also refinanced seven mortgages for a total of $1.1 billion at an average interest rate of 2.92%. And our liquidity stands at $8 billion now. Today we announced our dividend of $1.70 per share for the second quarter, a year-over-year increase of 21%. The dividend will be payable on June 30, including our dividends declared today, we paid more than $37 billion in dividends over our years as a public company, $37 billion. We also announced today that our Board of Directors has authorized a new common stock repurchase program for up to $2 billion that will become effective on May 16. When we look at the valuation of our stock today at an FFO multiple of approximately 10 times relative to the historical valuations closer to 15 times, and an applied cap rate of around 7% for our real estate assets, we see substantial value in our stock, particularly given our belief and conviction in our future growth opportunities. Our balance sheet is strong, continues to be a significant advantage for us while our cash flow generation provides us with the flexibility to adapt as conditions warrant and as we have proved countless times. We will be thoughtful and opportunistic on the buyback and keep in mind, this is in addition to the more than 20% increase in our dividend we announced today. Now, given our outlook for the remainder of the year, we are increasing our full year 2022 comparable FFO guidance from $11.50 to $11.70 per share to $11.60 to $11.75 per share, which compares to our comparable number of $11.44 last year. This is an increase of $0.10 at the bottom end of the range and $0.05 at the top or an 8% increase at the midpoint. This does not include the previously mentioned unrealized loss or gain that may occur the rest of the year on our fair value of investments that I mentioned and please keep in mind that this guidance increase comes in the face of a strong U.S. dollar and rising interest rates. Now, just to conclude, I’m pleased with our first quarter results. Tenant demand is excellent. And our real estate is a great hedge inflationary times, hopefully our operating results and our announced stock buyback authorization today reinforces that we are primarily focused internally and growing our existing platforms organically and I think that will conclude my comments. Ready for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Caitlin Burrows with Goldman Sachs. Please go ahead.
Caitlin Burrows: Hi everyone, good evening. Maybe just on the guidance, I know you don’t like to give too many of the pieces, but given the current volatility in the market and macro uncertainties, which may or may not be impacting Simon guidance was increased slightly at the midpoint. So I was wondering if you could give some detail on some of the puts and takes, what’s performing ahead of your initial expectations versus what might be offsetting some of that upside surprise, maybe occupancy, leasing, retailer sales, interest rates, what everything’s most relevant.
David Simon: Sure. I mean you’re right. The reason Caitlin, we don’t go through the detail is, we are a big company and there’s a lot going on and we think it’s better for the market just to focus on in our totality of our results, but what’s better is very simple. Our retail operations, which is our other retail properties is trending to be better than our plan. That’s number one. Most importantly, our property NOI growth is projecting to be better than plan. And the only negatives that are offsetting that are we have some exposure to floating rate debt. We’re probably at the very, very low end of other real estate companies, but we do have some. But we don’t have any commercial paper outstanding. We don’t have any outstanding on our line except for $125 million, which is primarily for tax purposes. And then obviously the strong dollar, when we bring back our foreign earnings, we have to do it at a lower dollar that that has a more meaningful impact than the rising interest rate environment. But so far demand is really, really good. I don’t want – we’re not – we don’t pound the table here too much we do sometimes we get carried away, but demand is great. Our leasing folks are very excited and our property NOI is better than what we anticipated, obviously because of the COVID a lot of restructurings on the leases and because of our high end tenant concentration and the amount of sales that they’ve had. I mean there’s volatility in that I cannot pinpoint exactly where our sales will come out on that. And that will have some impact on ultimately our results, but we try to give you a range here that we feel very comfortable that we can produce.
Caitlin Burrows: Got it. Thanks to that. I think the suggestion or guide is one question, so I’ll stop there.
David Simon: You’re very kind to follow the rules. Okay. Thank you.
Operator: Thank you. Next question is from Rich Hill with Morgan Stanley. Please go ahead.
Rich Hill: Hey, good evening. I’ll try to follow Caitlin’s lead and follow the rules as well. Hey David, income from unconsolidated entities was a pretty healthy number this quarter, in the past 1Qs, it’s been slightly negative. We modeled it negative in the quarter to be conservative. So I’m just maybe wondering if you can walk us through what your expectations were for income consolidated entities versus how it actually played out?
David Simon: Sure. I’ll turn that over to Brian to walk you through actually put together, yes, a piece of paper there for you guys in the 8-K to walk you through that, because I know it’s not confusing to us, but it might be to you. So hopefully this will help. Brian, take it over.
Brian McDade: Hey, Hey Rich, Brian here. So we did add some additional disclosure to our supplement to breakdown our income from an unconsolidated entities. As you can see the driver of the changes, our joint venture activity on our property side, including the performance of our international portfolio, which David highlighted in open remarks. 
David Simon: And remember, international last year, really was suffering from more of a lockdown than the U.S. portfolio. Yes.
Rich Hill: Got it. And I am allowed to ask a follow-up question if I were to follow the rules?
David Simon: Sure. So if you did it so politely, yes, and you’re gentlemen, we’re happy to hopefully – go ahead. Go ahead.
Rich Hill: Brian, I’m sorry in advance of a to answer the dumb question, but the negative $18.5 million you reported for TRG, including amortization of excess investment. What is sort of that as a clean number and happy to take it offline, but I’m actually just trying to back out how well TRG did this quarter prior – compared to prior quarters given the…
Brian McDade: The $18 million was primarily from the excess investment of our – for the Tobin purchase. So this is net income, remember, Richard.
David Simon: Yes. So we have to – when you capture things, obviously, you put it to market value and then we amortize that investment over its life has nothing to do with cash flow.
Rich Hill: Okay. We can catch up later on Brian. Thank you.
Brian McDade: No problem.
Operator: Thank you. Next question is from Derek Johnston with Deutsche Bank. Please go ahead.
Derek Johnston: Hey everyone. Thank you. Just, I guess, I get one on the retailer NOI contribution or I think it’s the NOI from other platform investments. It was $26 million this quarter in first Q. But when I look at it versus last year, the contribution was I think around $3.5 million. So just wondering if you could walk us through the drivers and maybe the Delta between this quarter and last year.
Brian McDade: Derek, the change is simply better performance out of our retailer investments in the first quarter of this year, relative to last year. There was still a lot of volatility still in the world. And there were definitely still closures throughout the U.S. specifically, California in the first quarter of last year. So the driver is just simply better performance out of the retailer investments.
David Simon: It’s good news, by the way, just so you – I just don’t want you to be confused. It’s always good to have better performance. Thank you, Brian.
Brian McDade: Okay, thank you.
David Simon: Okay. Yes, I just want to put it in perspective. It’s good to have better performance. Next question.
Operator: Thank you. Our next question is from Samir Khanal with Evercore ISI. Please go ahead.
Samir Khanal: Good evening, everybody. David, clearly the leasing environment is very strong. You talked about the 3 million square feet. But I was wondering if you could maybe provide color on sort of the pricing trends that you’re seeing in the portfolio, whether it’s the outlets or the malls – or the mills. Thanks.
David Simon: Yes. I would say, generically that – look, when I say this and it sounds hokey, but you have to create the win-win. But we are in a better position today to negotiate what we think is a fair deal for us than we were the last couple years. So we are absolutely seen the ability to get what we think is fair market value. And the good news is given the occupancy cost, our retailers are – we’re getting deals done. So we’re finding that happy win-win.
Samir Khanal: Thanks, David.
David Simon: Sure.
Operator: Thank you. Our next question is from Greg McGinniss with Scotiabank. Please go ahead.
Greg McGinniss: Hey, good evening. So David, there was a fairly substantial increase in month-to-month leases, increasing from 1.9% to 5.4%. Just curious what the primary drivers there were and what the opportunity is for leasing those potentially to maybe longer-term leases?
David Simon: Well, I think what you’re seeing is the fact that we have some big account leasing that we are not rushing to do, but doing it in a thoughtful manner, because we – these are really good properties and really important for the retailer and we’re taking our time to get that done. And that’s really what you’re seeing. So whereas – last year or the year before, you might have seen a rush to get those signed up and in the door, we’re taking a more strategic approach to create the kind of the win-win that I talked to, I mentioned earlier. So it’s really part of our strategy and it’ll – my anticipation without the question that number will be way down for Q2.
Greg McGinniss: Okay. So this is just a during negotiation phase increase, but no kind of expectation for loss of those tenants and more so all shifting to long-term leases.
David Simon: Absolutely not. And that was more of a decision on our side to get the right kind of deal that we have with some of our larger national accounts, so no issue there.
Greg McGinniss: Okay. Thank you.
David Simon: Sure.
Operator: Thank you. Next question is from Haendel Juste with Mizuho. Please go ahead.
Haendel Juste: Hey, good evening. Dave, I wanted to ask you about, I guess, capital allocation given where the stock price is. Now you put out the valuation discount. As you consider the debt market. I guess, would you buy back stock now? And then in the same answer, how are you thinking about acquisitions? There is rumor to be a very large seller out there, some pretty good malls. So just curious of under any scenario, would you be a buyer of some. Thanks?
David Simon: Sure. Well, as I said to you earlier, I mean, we got the authorization because we want to buy our stock back because we think it’s under-valued. So because of the technicalities we really can’t get into the market until the 16. But this is not window dressing, I expect us to be in the market. And all I can say to you and I really don’t like to comment on the stuck that’s out there on M&A. But I would throw caution note to all that I would suggest that please don’t believe any rumours or media reports concerning our M&A activity, okay. We’re – we are very focused on what I said to you, see our – if you want to able to listen to my prepared remarks, you’ll see kind of what I said on that front we’re really, really focused internally. And obviously, given where the stock has performed over the last couple of months, I mean, we think it’s an opportunity to be opportunistic in terms of buying our stock back. So that’s kind of – I mean, again, that’s kind of how I look at things. So don’t believe what you read or any rumours out there. We’re really focused on growing our existing platforms and taking advantage of the opportunities that our lower stock price represents.
Haendel Juste: Great. Thank you.
David Simon: Thank you.
Operator: Thank you. Our next question is from Connor Mitchell with Piper Sandler. Please go ahead.
Connor Mitchell: Hi. Thanks for taking my question. So could you please tell us what percent of tenants are now on percent rent deals and how those tenants are performing in the current environment if different at all?
David Simon: I don’t – I mean, every one of our retailers generally has a percent rent clause, not every single one of them. I mean, some of our big boxes and our department stores do not. But all of our small shop retailers usually have some kind of percent rent aspect to the weeks. So, that’s a high percent, so that’s number one. And number two, look so far, we’re in an uncertain environment as a global economy. But what I would say to you just general terms so far from the better, the higher income folks, we have not seen any kind of slowdown. There may be a little bit of slowdown on the lower income consumer obviously, unfortunately the inflation is a huge issue and we need to do everything we can to figure out as a world and in the country, figure out how to deal with the impact on inflation for the lower income consumer. But we are not – so far, we’re not seeing it in our portfolio.
Connor Mitchell: Great. Thank you.
David Simon: Sure.
Operator: Thank you. Our next question is from Michael Bilerman with Citi. Please go ahead.
Michael Bilerman: Great. Thank you. David, you talked a little bit about spending a lot of time internally, obviously leasing the portfolio. I was wondering if you can update us a little bit sort of on the external front, in terms of retailer investments or technologic – technology investments. I know you still have the SPAC out there, which obviously that market’s gotten a little choppier. But just how much time and what sort of opportunities are coming out of this macro environment for you to further moving this tanker towards a lot of those activities that you’ve been planting the seeds for a number of years.
David Simon: I think Michael, our SPAC – we still have confidence in the SPAC. I mean, we have a clock running out. But we still have confidence that there’s a really good chance the SPAC will find a good opportunity. And I think the opportunity set clearly has increased given the market volatility even with existing public companies. And we were smart enough to not do a deal probably at the time after we raised the SPAC that would’ve been at the market top. So hopefully our investors in that obviously recognize that. And remember, this is immaterial for Simon Property Group. But I want to say that. So on the external front, I mentioned to you earlier, right now, we are really focused internally. Now we’re investing in all of the platforms that we have in our existing portfolio. Lots of redevelopment is still on the drawing board. And we’re – SPARC is making investments in its technology, Penney will be making investments. Those come from those entities, we don’t have to fund those. They’re self-sustaining, Penney has hundreds of millions of dollars of EBITDA. So they’re funding themselves. But right now our focus is what I mentioned to you before. And look, if we see an interesting add on here or there, or bolt-on for one of our properties or one of our investments, maybe there’s some capital allocation. But I think right now it’s capital allocation I see is either to the shareholders or to grow our existing book of business.
Michael Bilerman: David, just as a follow-up, just in terms of just understanding sort of the value to Simon and the value for shareholders of all these investments you’ve made. The Board back in, I think it was like mid-February, granted, I think it was about $36 million to five senior executives. And I think a little bit more to 18 others for the successful investment in ABG. Now, I recognize you haven’t made money, you’ve exchanged stakes, you’ve invested more capital. But maybe just to step back, can you sort of share a little bit, at least at the Simon group level, how much of these investments have made for which the Board then paid the cash out to executives?
David Simon: Well, I don’t even know how to answer that, Michael. I’m not going to talk about comp on this call. If you are an investor, would like to talk to our comp Chairman, we’re happy to arrange that for one of your investors directly. I think what you’re referring to is, we’ve made $1 billion on our ABG investment. And that was kind of – we were moonlighting in that activity, and I’ll leave it at that, but thanks for your question. And our Comp Committee Chair is available to any institutional investors and shareholders on the rationale for what they did, but we’ll move on from now.
Michael Bilerman: Okay. Yes. We’ve just been – we got asked what the math was [indiscernible].
David Simon: We’re – like I said, any institutional investor, we’re more than happy to set up a phone call with our Chair of our Comp Committee. Thank you, Michael.
Michael Bilerman: Okay. Thank you, David.
Operator: Thank you. Our next question is from Vince Tibone with Green Street. Please go ahead.
Vince Tibone: Hi, good afternoon. Domestic property NOI growth was up 7.5% in the first quarter, which implies you’re expecting NOI growth to be only marginally positive for the remainder of the year based on the 2% NOI growth guidance you gave last quarter. Just given the contractual rent bumps and year-over-year occupancy gains that you should experience each quarter, what factors are negatively impacting the growth rate for the rest of the year?
David Simon: Well, I don’t – again, we – it’s a completely appropriate question, and I thank you for that. We gave guidance, NOI guidance at the beginning of the year. We are always trying to be conservative, and we always hope to outperform it. We don’t update it during the year. But I have confidence based upon what I know today, that we’ll outperform our initial guidance. Obviously, we have a little more variability than maybe – and then again, I don’t want to overdramatize this, but we have a little more variability than maybe we did 10 years ago, because of the overage rent that we’ve structured. I think we’ve actually structured it pretty smartly, but it does create a little more variability. And that’s our only – that’s the only thing that’s out there to throw some caution to the wind. What we see now, we expect to outperform, but it’s – we don’t update it and it is an uncertain world, but we’re working extremely smartly and diligently to outperform our initial property NOI expectations, without a doubt.
Vince Tibone: If I may just kind of squeeze in a follow-up. I mean just is it – how should we think about leasing economics here? Because you took away the disclosure on the leasing spreads or a few quarters ago, which I think made sense, given it was no longer really conveying a ton of useful information. But just – because I think what I’m trying to get at is guidance implying that are releasing spreads could be negative or – like I’m just trying to figure out what the pullback years of expense is, because I get the variability portion. But to your point, is that…
David Simon: Yes, I’m sorry, Vince, I didn’t mean to cut you off. It really is – it really does boil down to the sales part of the equation. It’s not – we’re seeing better rents than we anticipated. And we are seeing – look, if you Again, I don’t want to get into this, and we tried to get everybody to do the spreads the way we did it. But no one was interested in really doing what we did. If you really read the footnotes, and I don’t want to get into it, but it’s kind of – it’s comical what rent spreads are. Words are different, whatever. It’s not really important. Point is, the way you really see it is what is our portfolio NOI. And that manifests itself with everything, operating expenses, sales-based rent, overage rent, et cetera, occupancy. Our rents are firming. Our – if you really would do like just space to space, our spreads are basically positive and because we went through a lot of pain in the last couple of years. And again, because the overage was really quite exciting last year. We just don’t know if we can be as excited this year, and that’s why we’re being a little cautious, but we’re off to a good start.
Vince Tibone: Thank you. That’s helpful. Additional color.
David Simon: Thank you , Vince.
Operator: Thank you. Our next question is from Mike Mueller with JPMorgan. Please go ahead.
Mike Mueller: Yes. I’m curious, has your view on the pace or the magnitude of the occupancy recovery changed meaningfully thinking about for the next few years since the beginning of the year?
David Simon: I would say to you, if I understand your question, I think, we are really happy at the pace of our accelerating occupancy and clearly based upon last year, I think we’re ahead of where we thought we would be. And I’m hoping that to get the occupancy up to kind of where we were prior to the COVID. So I think, we’re – and I mean demand again until the lease is signed, until it’s a piece of paper until I get that first month rent, it ain’t over until it’s over, but we feel pretty good. And like I mentioned in the call, I mean our terminations were at the lowest level they’ve been in a long, long time and our deal committee, I think we’ve had a – we have a really good leasing group. They’re energetic. They’re grinding away. They’re working. I mean, we’ve turned our leasing group kind of not over, but we’ve added a lot of new talent to the organization. And I think we’re in a pretty good spot, assuming, things are continue to be macro, continue to be reasonable. I don’t think we need, last year’s results, but I just, and don’t underestimate and I’m rambling on here. But don’t underestimate that our interest in our domestic portfolio is worldwide and as retailers or restaurant tours or entertainment operators, they’re not looking at China, South America’s a tough market for them, Europe is, it’s got the recovery play because of the COVID lockdown, but it’s relatively flat. And obviously you got the Ukraine issue, which is more there than here. And so the growth for the worldwide retailers is in the U.S. We were not at the top of mine three, four years ago. That was China. It is here, it’s happening domestic. So that’s exciting.
Mike Mueller: Got it. Okay. So it sounds like the past couple of months really hasn’t derailed that at all?
David Simon: Not at all.
Mike Mueller: Okay. That was it. Thank you.
David Simon: Thank you.
Operator: Thank you. Our next question is from Linda Tsai with Jefferies. Please go ahead.
Linda Tsai: Hi, good afternoon. How are you thinking about distribution channels for the various brands within your SPARC platform? What’s the best way to maximize the reach and visibility of these retailer investments?
David Simon: Well, they still love physical stores. I think if I – look, I think each brand is different. So with Arrow, it’s the physical stores and the e-commerce with Nautica it’s stores, but wholesale business is very important. Brooks Bothers is a combination of e-commerce, wholesale and stores. Forever 21, the stores are really important. That’s the big differentiating factor it has compared to some of its peers. On the other hand, it needs to improve via e-commerce business. So it really within SPARC, there’s different brands and it really depends on the brand, but don’t underestimate. And I think, what we’ve seen since COVID, I mean, let’s not forget when we had COVID everybody said the stores are out of business, no stores, e-commerce, what we’re seeing is generally out performance, way out performance in the physical world, less performance on the internet or and that’s not just for our brands, but across every, essentially every retailer.
Linda Tsai: And then how does JCPenney fit in there as a distribution channel?
David Simon: Well, I mean, they have their stores and their e-commerce business. I think the store business is doing well. And I think over time they’ll improve their e-commerce.
Linda Tsai: Thanks.
Operator: Thank you. Our next question is from Greg Smith with Bank of America. Please go ahead.
Greg Smith: Yes, thanks. David, what percent of expiring rents in 2022 have been addressed? And are you primarily working on 2023 at the ICSC leasing convention?
David Simon: Well, we would, again, I think you missed part of the earlier call. So I’d say to you by the end of Q2, well, probably be in the 70%, 75% range of all of our leasing activity for 2022. And I would say we are doing a combination, at this point now you’re really more focused on 2023 deals, but we’re doing a combination of finishing lease to get lease assigned this year, some may open, but a lot of them opened in for 2023. And then I think the primary focus on at ICSC will be a new business, 2023 business.
Greg Smith: Great. Thanks.
David Simon: Thank you.
Operator: Thank you. Our next question is from Juan Sanabria with BMO Capital Markets. Please go ahead.
Juan Sanabria: Hi, thanks for the time. Just wanted to talk a little bit about investment opportunities external. I know you said not to listen to what’s out there in the press, but not withstanding. Do you see better opportunities or would Simon be more interested the real estate company investing more in high-quality malls? Or is the idea of maybe looking at shopping center real estate kind of interesting, given what we’ve seen in some of the changes with COVID and consumer behaviors?
David Simon: Well, that’s the policy. I mean, I don’t – I mean, our mall – outdoor versus indoor, our mall business is doing great. So I think that’s – and I would say to you one, good real estate can be indoors. It could be outdoors. It could be hybrid, and they don’t get carried away in the physical plan of great real estate. It could be a mixed use. It could be an outdoor center. It could be a big enclosed mall like Houston Galleria. So I know a lot of people spin it that way, but I will tell you, good retail real estate can come in a lot of different forms, a lot of different forms. So we’re not – we’re just – I can’t really answer the question because there’s not one project that we’re pursuing right now. And – like I said earlier, we think the opportunities – the greatest opportunities lie within Simon Property Group.
Juan Sanabria: And just if I can, a quick follow-up. You mentioned you think your cap rate – your implied cap rate’s around 7%. What do you think high-quality malls are valued at today, given the move in interest rates? And just curious what your thoughts are on valuations.
David Simon: Well, I mean I don’t know. I mean I know I wouldn’t be selling our stuff at a 7% cap rate. That’s all. I can only speak for myself.
Juan Sanabria: Fair enough. Thank you.
David Simon: Thank you.
Operator: Thank you. Our next question is from Michael Goldsmith with UBS. Please go ahead. 
Michael Goldsmith: Good evening. Thanks a lot for taking my question. David, we touched a lot on the outlook. But does the updated guidance consider any changes in expectation for the retailer investments for 2022? And then the $0.15 to $0.20 of additional investment expected for the year, what’s the expected cadence? Is that equally distributed through the year? Or is that hitting harder in the first or second half?
David Simon: Okay. The first question is not really on the retail side. We’re anticipating more or less if they come in on plan. And then I didn’t follow. Brian, did you understand the second part of the question?
Brian McDade: Can you repeat it, please?
David Simon: Yes, Michael
Michael Goldsmith: Last quarter, you talked about $0.15 to $0.20 of additional investment expected in the year, what’s the expected cadence of that?
David Simon: Yes. That’s – okay. That’s what I thought, but I want to make sure. So Reebok closed. SPARC bought the U.S. operations of Reebok at the end of February, if I remember correctly. And we think that will come out most of – it’s kind of – it probably will come out in the Q2, Q3. But it’s not really – it’s kind of a work in progress or when those operating losses will take hold. They incur certain operating losses, I should say, they, we. SPARC concurs. Certain operating losses is part of the deal and then they’re capped, and it really is just a function of when those come. It’s – but we know it’s limited to kind of the number that I gave to you – but that’s probably a Q2, Q3 event.
Brian McDade: Got to ramp up, Michael. So they’ve got to actually incur the cost to have the – so it’s just going to take a little bit of time.
Operator: Thank you. Our next question is from Floris Van Dijkum [Compass Point]. Please go ahead.
Floris Van Dijkum: Thanks for taking my question. David, maybe you touched upon the fact that your occupancy cost is low. If you could just – can you share that occupancy cost? And also, what was your occupancy cost prior to COVID and how quickly will you get back to those kinds of levels in your view?
David Simon: Yes. So our – the number right now is 12.3%. What was it? What was – no, no, before COVID. No, it was higher than that. That was higher than that. Anyway, we’ll give you the number where it was pre-COVID, but I thought it was in the kind of the high 13%, 14% range. But we’ll get you – what was it?
Brian McDade: 13 and change.
David Simon: 13 and change. And look, I can’t tell you how long it’s going to take a function of it is just marking leases to market. But it’s fortunate for us and our retailers that they’re profitable in our stores. And yet, at the same time, we can mark the rents up to market and be able to grow our business, too. So that’s what we’re trying to achieve.
Floris Van Dijkum: Great. And if I can maybe have a follow-up as well. Obviously, you cited your leased occupancy. What is the gap between occupied and leased space right now? And how do you see that trending over the next couple of quarters. And presumably, some of that lease space could be anchors, which could be slower to get online. So is that gap always going to be – remain steady? Or do you expect that to narrow over the next 12 months?
David Simon: I think Tom can give you the exact numbers later, but I mean both trends are in the moving in the right direction. So Tom, to get you the actual numbers, but both are moving in the right direction. And I think that the gap between the two in a good market like we have now will narrow.
Floris Van Dijkum: Great. Thanks.
David Simon: Sure. I think – oh, sorry, go ahead, sir.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session, and I would like to turn the call back to Mr. David Simon for closing remarks.
David Simon: Okay. Thank you and I’m sure we’ll see some of you in the next few weeks. Thank you.
Brian McDade: Thank you.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.